Operator: Ladies and gentlemen thank you for standing by. I am Yota [ph], your chorus call operator. Welcome and thank you for joining Allegro Group Earnings Call and Live Webcast to present and discuss the Fourth Quarter 2024 Results. All participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Tomasz Pozniak, Investor Relations Director. Mr. Pozniak, you may now proceed.
Tomasz Pozniak: Thank you, Yota [ph] and welcome to everyone on our call. Let me introduce the presenters of today. Roy Perticucci, the CEO of Allegro, who will provide you with an overview of the full year and fourth quarter business highlights; and Jon Eastick, our CFO, who will guide you through financials and the management outlook. Roy will conclude the presentation with key takeaways. As usual, our results presentation is available for download from our investor's webpage at allegro.eu. You may also download these slides from the link available on the webcast screen. As a reminder, today's presentation and discussion contains forward-looking statements. Our actual results could differ materially from the expectations expressed in such statements. Please make sure you review the full disclaimer on Slide number 2. Also please note this presentation and the Q&A session are being recorded and will be available for a replay on our website at allegro.eu. And with this, I would like to hand over to our CEO, Roy. The floor is yours.
Roy Perticucci: Thanks very much, Tomasz. It's my pleasure to present to you for the third and final time as Chief Executive of Allegro, the annual results this time for 2024. Before I kick off with the presentation as a whole, I should say that -- remind all of you that I'm stepping down as the CEO at the AGM in June. And I'd like to confirm again here that the process is well advanced and every step is being taken to ensure that a new CEO will be nominated in time for a smooth transition. Now on to the annual results highlights for 2024. We crossed the PLN60 billion threshold just in time for our 25th anniversary in early December of last year and we closed the year with an overall PLN64 billion GMV for the group. Revenue -- GMV grew overall by 9.6%, revenue by 6.7% and adjusted EBITDA grew by 17.9% to around PLN3 billion. CapEx, as we promised would do, inflected last year and increased by 31% and ended the year at PLN600 million. Overall, the EBITDA performance, I think, reflects overall the margin progress from advertising growth and continued work on Fit to Grow with some of those savings fully annualizing. The quarter, on the other hand, also delivered very good results versus our guidance. We hit or exceeded all the metrics with the possible exception of GMV which was just underneath our lower end of 11%. We delivered 9.9% -- sorry, 10.9% for the year. That said, I should remind everyone that so full 2.5 percentage points higher growth than the year-on-year to the end of 2023. So I think some of the concerns that some of you voiced about shopping frequency and conversion did not materialize in the last quarter. And I think that's reflected also particularly in the very strong Polish performance. Overall, we outpaced the retail demand as a whole by 2.5x and the average annual spend per buyer in Poland exceeded around PLN4,000. So overall, quite strong growth. You see here the numbers in terms of active buyers growth, plus 6% for the group, plus 2.8% for Poland as a whole. Very robust improvements, 33 basis points for take rate and the arrival of advertising income to 2 percentage points of GMV. So very good. I think overall, we're reasonably pleased with some of the progress. In terms of EBITDA, I think the lower margin for the quarter at 5.61 reflects, one is a seasonally lower take rate for Q4 and marketing investment that rose to 2.8% of GMV. That's 50 basis points up year-on-year, reflecting sort of increased spend on offensive and defensive activities. I think fundamentally, ladies and gentlemen, we've developed a cash-generation machine here in Poland and Jon will talk more about this later. By this point, you should be very familiar with our multiyear priority framework. We tuned it, I think it's about this time last year. But overall, the priorities have been the same. And I will take you through these one by one, all of them should be, to some extent, familiar to you already. First of all, in terms of easy and safe to shop, simple to sell, we've had very healthy growth in our priority segments of supermarkets in health and beauty which continue to grow at twice the overall Polish GMV grade. And I think we can be very, very pleased with our performance at Christmas. And 99.9% of Christmas orders made it to customers in time for Christmas and that with a record late Christmas cutoff which was at 11:00 on the 23rd. So I think that actually contributed to some of the uplift in the quarter. And our selection. Now we expressed the products -- we expressed selection in terms of products, it's driven to 400% and we have a fully productized view in all our marketplaces. Customers continue with their loyalty. We've reinforced the Smart! programs in a number of ways. The Smart! user base is 8.3 million for the group and 7 million in Poland, so robust growth in Smart! leadership also outside of Poland. And purchase frequency, that all essential measure that drives all of our GMV uplift, shopping frequency went up to 22 days. That's up 6.5% for the year. I think one other thing that excites me personally as the Chief Executive is not only the fact that our ranks of merchants have swelled to 163,000 on the Polish market place, the place that's up 10% year-on-year but the concept of list once and sell everywhere is being embraced not only with our experienced Polish merchants who are selling increasing numbers on our marketplaces outside of the country but also the growing interest of merchants in our newer countries where we've seen an increase -- a very strong increase and particularly enthusiasm, given some of the performance of merchants operating in smaller countries gaining access to Poland. We see that many of them have more than double -- more than doubled the turnover or the GMV outside their home country as they do on their marketplace, in their home country. So I think it's just showing you that as we have effectively a single marketplace spanning 4 countries that there really is some power for growth. Speaking of growth, advertising growth continued to accelerate at 31.3% year-on-year for the quarter. And it's clear to us that there's much more headroom to grow this income stream which flows straight to EBITDA in the coming years and quarters. We've done a lot of things, I think, to make our traditional products more appealing to merchants, giving merchants more transparency about what return for investment they get. And we're also moving up the funnel of advertising sort of the mid and upper funnel is what we call it, in terms of advertising that is more focused for awareness and consideration. Awareness and consideration ads are particularly attractive to brands which we believe is another growth segment. And adding to that, of course, is we are using our buying power from marketing of our marketplace and passing that opportunity to buy at more effective rates to our own merchants, if you want to drive attention from customers not on our platform to make purchases on platform. So a trend that you've seen for quite a while now, we do expect that as revenue growth is going to continue to outpace GMV over the medium term. Allegro Pay also goes strength from strength to strength. We had some debate internally about whether we should actually stack rank us against banks in terms of loans origination. We decided not to share that with you. But overall, I think we are amongst the leading consumer lenders in the country. Loan origination over the past 2 years has grown at a steady 41%. You see that in the middle graphic there. And that's despite the fact that our loan book on our own balance sheet has grown decidedly less than that and is now only at about PLN500 million. Of course, one of the key reasons why we wanted to do lending to begin with was this an effect for GMV. We've increased the lending limit to PLN9,000. The enhancements of lending, of course, drives the GMV finance which has grown by 37%. There are more products on the way here. We have already launched the Visa card -- Allegro Pay Visa card which gives further flexibility to consumers who want to use it and are finding various ways to apply AI to make more and more savvy lending decisions. So before I move on to the next slide, I'd like to say a few words of introduction. I think the key thing is, it has always been a topic of questioning and interest of this group about what our plans and logistics are. And I think we can say at this point that we've made some really profound changes to the way we manage the mix, the way parcels are delivered to customers. We now manage just under 1/4 of total volume that we originate via our marketplace under our own ship methods. We have two major ship methods, one for to door delivery and out-of-home and I'll get to that in a second. But the first thing I would say is already in Q4 of 2022, we started playing with a key lever to shift volume from higher expense to door or home delivery to less expensive out-of-home delivery by shifting the minimum order value from PLN40 for both to PLN65 and PLN45 for home delivery and out-of-home, respectively. And you can see this in this slide in the overall mix between to door and out-of-home, the green line shows how we've made steady progress of convincing more and more customers to use to doors and lockers. So that's been, I think, one of our early accomplishments. The brandless courier is the simplification both for merchants and for consumers. We take away all the complexity. All of our merchants in Poland are signed up for brandless and consumers now have a very simple choice of, do I want it to be delivered to home or do I want to deliver it out of home. If I want it to be delivered to a particular address with the brandless courier, customer simply puts in their delivery address and we take care of everything else. This gives us an opportunity then to optimize the flow of parcels via whichever courier offers the best combination of speed, reliability and choice. And you see that in the top part of the graph on the right-hand side, since we introduced it in about Q1 of 2024, that an ever-increasing chunk of to home deliveries are now being moved via Allegro -- excuse me, by brandless. We have a similar product for out-of-home, we call this Allegro Delivery. Again, this is a simplification, both for merchants and for consumers. Merchant signs up for the ship method and consumers simply select whatever participating locker is most convenient for her. And these are currently is a service that we first started with our own delivery network. That is the green portion of the slide. You see over time, we have steadily increased the amount of volume flowing over effectively the same number of assets. And once Orlen Paczka joins, we could also shift some volume to them. We expect both of these shares to slowly grow over future quarters. We're very pleased and we've already announced that DHL has also joined Allegro Delivery. So it means that we have more and more choice, at least for the volume that flows via our ship method to arbitrate between the best -- courier that offers the best combination of speed, reliability and cost. And that discussion of managing volumes flow through, of course, to our costs. If you look back, it's sightly higher volumes and volumes have increased almost 2x, actually over 2x over the last year. It means that unit cost declined markedly and you see how things have dropped decidedly in the '22 to '24 time period. We are now paying -- the costs that we have per parcel to deliver in our own capability are rapidly approaching what we pay for our most expensive alternative and we expect to actually get well below that in the course of this year. Again, I think the lesson here is not to over-obsess in what we're investing in our own capability. The point of the exercise is to generate choices amongst the volumes that we manage to get to the price of the best combination of speed, reliability and cost. But you see in the lower end that actually there are now multiple options that are all cheaper, particularly in APM deliveries that are below what we currently pay to our most expensive supplier. So, I think that's -- I think the key things in this area. I think the really attractive thing is that I think all of the participants in both brandless and in Allegro Delivery, are looking for volume. They've made sizable investments. And now it's a question about how can we actually optimize to maintain or improve speed while continuing to make progress on unit costs. And that, I think, is reflected in the graph that I'm showing you right here. There are now an increasing large number of alternative choices in terms of networks. All of the major players in Poland are making investments in Poland. And frankly, almost all of them are opening much larger networks than we are. And I think that's good for us. It reduces our own investment requirements. And you can see of the three participants in Allegro Delivery, we have a total of 16,000 lockers to choose from which is roughly where InPost was in 2021. All of us are, of course, planning to invest further in the coming year. And we really invite any carrier who is interested to participate in the Allegro Delivery program. So I think very heartening progress. I should answer at this point that our own plans for expansion are relatively modest, probably not more than 2,500 units, always on the philosophy of sweating the assets. I think you can see by focusing volume on the assets that we have, we have gotten much better progress on speed, reliability and cost, particularly cost and we're not interested in building a network that is not being used. So I think that's pretty much the main things we do there. Of course, we are also investing in our back-end networks in terms of sortation and in delivery, particularly in areas that are maybe not best served by complementary networks. We opened 2 more marketplaces. We opened 2 more marketplaces last year, so 3 in rapid succession in about 18 months. I think we did quite well during Christmas. GMV was up 68%, really, so more than 2/3 in the quarter and margins also increased year-on-year by about 6%. And that, I think, is without Hungary, I'm really quite happy about because we haven't even invested much in the way of marketing yet. As we said, we were doing a soft launch only. And I find that we're being very well received there. In the quarter, we added nearly 0.5 million active buyers in the International segment. So we now have 3.3 million overall. And as I mentioned earlier, 1 million in Smart!. We also have a large number of merchants, 70,000 merchants from Poland are participating on the marketplaces in Czech, Slovakia and Hungary. That's up 12% for the quarter. And the number of local merchants, merchants active predominantly in the Czech Republic and Slovakia has grown by exactly 1/3 quarter-on-quarter. And again, that's something that I'm personally very excited about because of connecting merchants in our catchment area to customers throughout the catchment area we serve. Now a lot of your questions have been talking -- have been about Mall. And I think Mall is really taking shape as a lead merchant. 10% of Mall's has -- 10% of marketplace volume is covered by Mall as a merchant. We've shut down the physical stores in their catchment areas. We've also retired the CZC legacy platform late last year and we're scheduled to shut down the Mall legacy platforms in the course of this coming month. And I think, overall, that means that a couple of things have happened. One, we will be able to have an identical tech stack in all 4 countries that we're operating that is supported or run by the single organization in all 4 countries which, of course, has all kinds of operating efficiencies and cost efficiencies, be realized in the next few quarters. I think one last thing to say here is we're going to pause the international expansion for a while. We want to spend a bit less money. We want to focus on shopping frequency, that all important metric and also do various things that we started to do in terms of trust and building conversion, really refine the model before we expand further. That doesn't detract anything from Croatia and Slovenia. What we have here is already with Mimovrste, a market leader or a segment leader in their respective countries. And so we're in no rush to further expand until we've really perfected things and we'll review this again in the second half of the year to see where else we may expand. But South is a very successful stand-alone and we'll continue from there. So as a final slide in conclusion, something I've already touched on is David Roberts. David Roberts, is our CTO and his team have delivered over the last 2 years some excellent work 2, I think, quite important aspects. One is we have a full grasp of both the overview and the detail of our development portfolio. We're much -- a much better clarity about what these projects are supposed to deliver and in fact, are much more able to prioritize the projects we do and the ones that we don't do and that is also visible in the fact that after 2 years of hard yards, we have moved to a shared tech stack for the bulk of our catchment area. So very good progress indeed. I feel I should also mention that we're using AI in all kinds of areas, starting with improvements on coding productivity, providing lower cost support, both to customers and to others and improvements in sort of selection -- sort of search and selection. So overall, I think, very efficient in this area. In people and culture and ESG, this is an area that Barry, our Chairman and actually a number of the subcommittee heads have underlined. We maintained our full commitment to ESG. And in fact, also in the principles of the DEI despite the changing aspects of the context. And I expect that this will continue in the future. And we are ahead of time, fully compliant in our annual report and that reflects to the fact that I think also that, that fully compliant report has reached no less than, I think, 500 pages. So very good overall. And at this point, I shall hand over to Jon, who will talk to you -- take you through the financial results.
Jonathan Eastick: Thank you very much, Roy and hello, everyone. It's a pleasure to be with you today to take you through the financials, particularly focused on Q4. I'm also going to take you through an extended out -- management outlook. And I'll also be covering the new capital allocation policy that the Board approved earlier this week. So let's start from the Polish operations, the usual KPIs for the full year and the fourth quarter laid out on the slide in front of you at the moment. Now let's start detailed comments with the 2 key KPIs that drive our GMV for the Polish market. And as Roy has been underlining, the key focus is around driving loyalty and frequency of our customers which means that the spend per active buyer that you see on the right-hand side of this slide has been the key growth driver for GMV for this year and all the preceding years in the recent past. We did 7.8% year-on-year growth in the fourth quarter, 2.1% progress Q-on-Q and we landed on over PLN4,000 for the first time in terms of spend per average buyer which is really an amazing result. We're really happy. When it comes to active buyers, we also had a good quarter, up 0.8% Q-on-Q to 15.1 million active buyers on the Polish market, 2.8% on a year-on-year basis. So putting those 2 KPIs together, that underpins the 10.9% GMV growth that Roy mentioned earlier, that PLN17.4 billion of GMV in the Polish market in the fourth quarter alone. And as Roy said, this was 2.3 percentage points faster than we achieved a year ago. And it's been achieved against the backdrop of a second successive fourth quarter where retail sales growth has actually been very mediocre. Nominal retail sales growth was around about 3% for the fourth quarter. A year ago, it was around 2.6%. We've managed to grow 2.3 percentage points quicker than a year earlier. We spent a lot more on marketing, as you've heard. We also invested a lot in pricing, in particular, during an extended Black Week in November. We also helped ourselves with very, very late cutoff for the Christmas period. So all of those factors contributing to the faster growth. When it comes to category mix, same as in previous quarters. Our health and beauty and supermarket categories continue to over-index in terms of growth. The average selling price when mix adjusted is up about 1.14 percentage points for the fourth quarter, so showing very moderate progress Q-on-Q, whereas the overall is obviously down because of the over-indexing of the lower frequency categories. So then moving on to revenue. We delivered 16% revenue growth as usual, faster than our GMV growth. And this has been driven by the usual suspects of our key growth generators, advertising, our logistics services and our fintech business, all growing well ahead of the marketplace. The marketplace grew revenue 14.1% year-on-year, 10.9% of that obviously coming from the GMV growth. The rest coming from the increase in take rates which you see on the right-hand side here. Take rate was up on a year-on-year basis, 0.33 percentage points. It landed at 12.01% for the fourth quarter, down from 12.51% in Q3 and that's really reflecting 2 reasons. One is the usual seasonality that whereby merchants tend to exploit the fact that demand is highest and do less promotion of their offers. And secondly, because as I mentioned before, we've reinvested quite a lot of take rate into having really excellent offers during the Black Week period in November. Let's move on then to adjusted EBITDA. And I think the first key point to make here about the Polish EBITDA is when you look on a full year basis, we've delivered PLN3.6 billion and that's up 21.3% year-on-year. So phenomenal adjusted EBITDA for this business. When we look only at the fourth quarter, it's an 8% growth rate. And the reason for the lower rate is essentially because earlier in the year, as we mentioned to you, we, first of all, started to lap most of the increases that we got from the Fit to Grow program which either improved margins or reduced costs. And we've also, as of Q3, lapped all of the take rate increases that we implemented a year ago which means there's essentially not much take rate difference, only 33 basis points difference in take rate, as I just described on the previous slide. So that means that the growth rate on adjusted EBITDA drifts down towards the levels we're seeing in terms of GMV growth for the fourth quarter but it was still PLN975 million, 7.7% growth rate. And our adjusted EBITDA margin to GMV is at 5.6%, well within the medium-term guidelines that we published originally back in March of last year. When it comes to the bridge itself, I think the key point to look at is the cost of delivery. You've heard Roy talking about the initiatives that we've been running around delivery during the course of 2024. The PLN113 million increase in cost is very low for fourth quarter. It only represents a 0.23 percentage points increase when expressed as a share of GMV going into cost of delivery. And the volume growth that we've seen which is obviously reflecting the growth in our Smart! base and our GMV growth has been more than offset here by a fall in the unit cost per parcel, 7.7% down year-on-year. It's coming from many sources. First of all, the volume discount agreement that we had with InPost for 2024 in terms of accounting recognition of the discounts that we received were back-end loaded into Q4. And secondly, the indexation of the long-term agreement with InPost under that deal was also deferred until January. So there was no indexation effect in the fourth quarter. But other factors that have also helped continued mix shift away from courier, as Roy was describing earlier and also nearly 5x more Allegro managed deliveries, as we were discussing, is also helping on unit cost. So very important and very strong performance on cost of delivery. Moving on then to investment. And as you've already heard, we're starting to spend more at atypical level again after the year of Fit to Grow in 2023. CapEx is up 62.5% for the fourth quarter, at PLN161 million but I hasten to add that still only 83.5% or -- as much as 83.5% when it comes to cash conversion. So very strong cash conversion in this business. Most of the increase is coming on other CapEx. So physical asset CapEx, particularly lockers and other delivery related investments. Also, some spending on IT as we consume the capacity surplus that we had back in the times of Fit to Grow. The development expenditure -- capitalized development expenditure is up 30%, at almost PLN92 million. We're still investing in the tech team, expanding our capabilities to run projects in parallel to improve the platform. And obviously, tech engineers very sought after, it costs more on a year-on-year basis. It's very important to remember that we're going to stay really focused on return on investment even as the absolute spend increases going forward. And we stay committed to sweating the assets, as Roy said earlier. So that's the Polish operation. Let me move on now and talk about the international segment and starting with the marketplaces. So as you've heard, we have three operational Czech Republic, Slovakia and Hungary. And here, we actually had a much better fourth quarter than we were anticipating. So we beat our own outlook fairly handily. Great progress on active buyers, up by 0.5 million to 3.3 million. A lot of the seasonal shoppers that hadn't really been seen on the marketplace in the Czech Republic since a year ago, returned to us. We're also seeing increasingly a core group of enthusiasts who are starting to shop more and more frequently. And as you've heard, that is really the key focus over the next few quarters is to drive that frequency and thereby drive GMV. Traffic is up year-on-year for Q4, 75%, 137 million visits across 3 marketplaces. Active buyers is 110% up at 3.3 million. The spend per buyer is up 22%, fourth quarter to fourth quarter of PLN500 in comparison to the PLN4,000 we have in Poland, not bad for only 18 months versus 25 years. Moving on to GMV on the next slide. 68% progress year-on-year on GMV, PLN689 million for the fourth quarter, revenue growing even faster, 79.5% to PLN66 million and we still have a lot of headroom in terms of take rates which are roughly not much more than half the level that we see in the Polish market at this point in time. And adjusted EBITDA in terms of margin also showing really good progress, down 6 percentage points from a loss of 26.6% down to 20.5% for the fourth quarter of 2024. We're starting to see good progress in terms of cost per click on the purchase -- the purchase traffic, reflecting improving conversion, reflecting brand recognition for the consumers. So very good performance for Q4 in the international marketplaces. Now let me move on and talk about the Mall segment. And as you heard from Roy, we're gradually or rather now very quickly, finishing the transformation to operate Mall as a lean merchant that only sells on the Allegro marketplace. To do that, we've been, first of all, turning off the CZC own shop and the Mall store is in the final stages of being closed down. So during Q4, there was a lot of sellout activity for the Mall inventory. We've also been pruning the selection very aggressively to try and focus in on higher margin items. And as we said in previous quarters, it's important to note that most of the 1P legacy retail sales of the Mall segment where after marketing expenses and delivery costs, etcetera, etcetera, not really profitable. So the end result of that is that although we deliberately managed down the GMV really by 54% in the fourth quarter down to PLN400 million, we still only had a similar loss of PLN41 million as we had a year earlier. So that really underlines the lack of underlying profitability in that legacy business. The savings that we've implemented on marketing expenses and SG&A have really helped. And as Roy has been saying there's a lot more to come over the next couple of quarters. So that's the international business. You have related summaries on the next 2 slides. And then we get to the group performance. And as usual, I'll limit my comments here to the situation with leverage. We had a very, very strongly cash-generative fourth quarter which resulted in our leverage dipping down even further, ending the year at 0.77x our adjusted EBITDA. And this is affording for us tremendous financial flexibility now going forward for investing in the business and also applying our new capital allocation policy which I'll talk about in a few moments. It's also worth noting that we ended the year with over PLN4 billion of cash on the balance sheet. So with that, let me move on from the financials to the management outlook. And this starts basically with confirmation that the medium-term business objectives set in March last year and that Roy has been taking you through earlier in the presentation, is rolling forward into 2025. It stays fully applicable. There are no changes to this page and we'll be reporting progress against these different priorities from quarter-to-quarter. Where there are some differences are in medium-term aspirations, whereas the objectives say what it is we're focusing on. The medium-term aspirations try to give you a feeling for how the financials are likely to look over a 5-year perspective, so out towards 2029. And we split these -- we first published these aspirations back in March of last year and we made quite a few updates following the recent planning round. These aspirations are split into 2 categories: growth and profitability on the one hand; and then investment guardrails for how we're using the Polish adjusted EBITDA which is obviously the key source of cash generation for the whole group. So starting with growth and profitability. The key changes are, first of all, around Polish adjusted EBITDA margin. We're very happy and confident in the progress that we're having in our growth engines in all three of them, advertising, fintech and delivery. And this gives us confidence that we can deliver the GMV growth that we're looking for at a higher margin than we had previously indicated. So we've lifted the range from 5.3% to 5.7% to 5.5% to 5.9% in this version of the aspirations. 5.9% was what we delivered in 2024. So we still have plenty of leeway here going forward. Moving on then to our international marketplace rollouts. As you've heard from Roy, we've taken a strategic decision that we're going to focus on accelerating the shopper frequency and engagement in the 3 existing marketplaces as a top priority. And we won't consider doing any new launches until we crack this topic and we start to see really accelerating GMV growth because our existing active buyers are shopping more and more frequently from one quarter to another. When it comes to the Mall segment, as we've described, we're expecting to complete the transformation into a lean merchant in the first part of this year. That should result in year-on-year losses dropping significantly in the second half of the year and open the way for a fully cash positive contribution to the group from the remaining assets in 2026. The marketplace, we expect to break even within 4 years from launch, each location separately. So that means Czech Republic by 2027, the others by 2028. When it comes to the guardrails, overall, last year, we were projecting to spend 40% of the Polish adjusted EBITDA, 20% on CapEx, 20% on the international business. The update calls for now an acceleration of spend, particularly on accelerated logistics projects on the Polish CapEx. So we're lifting the guardrail to 25%. And this is because we have all the foundations in place now to drive mix and to drive down costs at Allegro One. And when it comes to the international marketplaces, we're over the peak in terms of requirement, 15% we need for 2025. And as we roll out this plan, we should, over time, the cash requirement should drop towards 0 by 2028. So when you put this together, the Polish adjusted EBITDA should be rising consistently over the outlook period of 5 years, whereas the reinvestment requirement should be dropping from 40% to about 25% over that time. And that obviously translates into massive free -- growth in free cash flow. Which then brings us to the new capital allocation policy which deals with how we intend to manage that free cash flow. So this policy which we -- the Board just approved earlier this week. First of all, starts with the key principles of how we're going to spend that free cash flow. And the first priority is clearly investing in the business, within the medium-term business objectives that we've described earlier, to find new projects that will actually enhance our organic growth or increase our margins, will provide both at the same time. Money is obviously available. We've got massive flexibility and that's the first priority. We want to run the business at a modest leverage level and maintain significant liquidity to have operational flexibility. In numbers, that means running at 1x leverage for net debt and 2x leverage for gross debt. Liquidity at roughly 30% of revenue. When it comes to M&A, we're limiting our aspirations and ambitions to considering bolt-on acquisitions around the existing objectives and particularly also capability-focused M&A., a good example being the FinAI deal that we did a couple of years ago that created the Allegro Pay engine. So having applied those 3 sets of conditions, there's very likely to be a surplus of capital in any given year. And if that's the case, as it is this year, we'll be returning that money in the form of share buybacks to our shareholders. We'll make the decision year-to-year. When it comes to 2025, we've assessed this -- the surplus capital at PLN1.4 billion. And the Board are taking steps to have resolutions ready for the shareholders to vote through a buyback at the AGM. So the final slide for me is expectations for the full year 2025. We're modifying our outlook policy and going back to annual guidance after 2 years of providing quarterly guidance. The backdrop to this is, firstly, the increased visibility and timing around the Mall transformation and the growth of the international operations, meaning it's now easier to project over a full year period once more. And secondly, in our conversations with investors over the quarters, we know that many of you would appreciate having annual guidance and so we're trying to meet that expectation. So let me start with the Polish operations. We're expecting at least 9% and low double-digit growth, up around 11% for 2025. And that's between PLN66.2 billion and PLN67.4 billion of GMV. As usual, that will feed through into faster revenue growth, we're anticipating between 14% and 17% growth driven by those growth engines and take rate increase. Adjusted EBITDA, we're targeting to be around a flat margin around that 5.9% level. So depending on how it goes higher up the P&L, that equates to between PLN3.9 billion and PLN4 billion of adjusted EBITDA for the Polish business for 2025. The CapEx increase is between 60% and 90%. Most of it going into the acceleration of the logistics projects between PLN850 million and PLN1 billion of CapEx in the Polish business. When it comes to international operations, for the first time, we're splitting the guidance or the outlook between marketplaces and the Mall segment, so I'll start with the marketplace. 40% to 50% year-on-year growth, PLN2.4 billion to PLN2.5 billion of GMV. We expect that the efforts around frequency mean that this growth rate will accelerate over the course of the year, averaging the 40% to 50%. Revenue to grow faster, 55% to 65% growth, as I've said, there's plenty of headroom in take rate. And for adjusted EBITDA, a similar size loss on a much higher GMV and a higher incremental GMV year-on-year, with -- between PLN350 million and PLN400 million investment in scaling the businesses, the marketplaces. When it comes to the Mall segment, the reduction in the scale of the business is going to translate into another 55% to 65% decline in this legacy GMV as the business moves to be a purely a merchant on Allegro. Revenue falls just as much as GMV because obviously, it's a 1P business with the GMV and revenue being almost the same number. But the adjusted EBITDA will -- loss will be reduced probably between 20% and 30%. And as I said, the second half of the year should be much better in terms of year-on-year loss progress. The final thing here to mention is the adjusted EBITDA for the group. Because of the progress in international, it means we can look forward to higher growth in adjusted EBITDA at the group level between 10% and 17% than we're targeting for the Polish business. And this is the first time we've been able to say this since we embarked on our international expansion with the Mall acquisition back in 2022. So that's the final comments from my side. I'm going to hand it over to Roy for a quick summary of key takeaways before we go into Q&A.
Roy Perticucci: Super. I think this is a fairly weighty and lengthy presentation. I think in a number of areas, we've gone through more detail than as usual. And so we thought it was a good idea maybe to do a brief summary of what we think are some of the key takeaways. I think number one is having a single tech stack in 4 countries really does have advantages. We can extract the lessons we have in each one of these countries marketplaces and apply them everywhere. So overall, continually improve this at a rate that is a little bit easier than if you're operating only in a single country. It's the foundation for international growth and for speedily updating the customer experience. I think the second thing is there is one absolutely vital driver for growth. It's the key leading metric for us and that is what we call buyer loyalty or shopping frequency. And we know that as we continue to boost this, not only in Poland but even more importantly, in our international markets or non-Polish markets, we know that growth will come and it will come at a decrease in cost because typically, loyal customers don't need to be reminded to come shop with us. So there's a lot of virtuous progress here. Probably the thing that I've been asked the most frequently about is what our plans on logistics and what kind of progress we're making? And I think you see now that we've made some systemic changes. That means as the more we disperse and reallocate volume, the lower our cost will be, be it with our own network or with our partners but all of these make sense in the mix to drive for the best combination of speed, reliability and cost. Finally, we've really created a cash-generating machine. That's particularly true for Poland. But I think you see early indications that, that cannot possibly be true also for our new 3 marketplaces. And we're going to do everything -- every effort to continue to make that cash flow strong and reliable. And that growth we're going to -- sorry, that flow, we're going to invest in growth. We promised you 2.5 years ago profitable growth. And I think we are rapidly approaching that goal outside of Poland as well as within. We want to keep financial leverage modest. Jon has explained to you what the guidelines are there. And we'd like to also give returns back to shareholders where we can with judicious and cautious use of buybacks based on what is available after we've covered the previous things that I've just talked about. So please keep in mind, overall, of all the many, many things we talked about today that I think really these are the key ones. Of course, I'm sure in a few places, tonight, someone will be sipping a beer, rejoicing that we've returned to annual guidance. And we thank you all for your patience. So at this point, I'm going to hand over back to Tomasz, who will guide us through Q&A.
Tomasz Pozniak: Thank you, Roy. Thank you, Jon. So Yota [ph], we are ready to start the question-and-answer session.
Operator: [Operator Instructions] The first question comes from the line of Tiron Cesar with Bank of America.
Tiron Cesar: I have three but I think they're easy. The first one is really to understand better, you've explained some of it but to understand better, what drives your comfort in increasing the long-term target for the Polish EBITDA margin? And if it has anything to do with the higher CapEx investment and the returns associated with better delivery cost that -- that this will translate into? And also how you factored in competition into that guidance? The second one would be on the long-term guidance for international. And there, what I would like to ask is, how fast do you think the -- I mean, you've obviously guided for 2028 where you said, look, the international is going to be breakeven. But I think now we're roughly run rating at 17% negative of Polish EBITDA as an investment. Should I assume that it gradually goes to zero? So maybe it's 10% or 12% next year, etcetera, etcetera, I mean, 2026 and '27? Or is it basically going to be continuing at this high level of spend for the next 2 years and maybe just decreasing in 2027? And I think the third question, obviously, you moved to the yearly guidance which is extremely helpful. Is it possible though to ask you to make a comment on current trading in Q1, more on the revenue side?
Jonathan Eastick: Thank you, Cesar. Thank you for the questions. I think these are all more my area, so I'll try and help you. When it comes to the margin, I think there's two key data points to take into consideration. The first one is we managed to run 2024, let's say, hotter in terms of margin than the outlook that we shared in March of last year, so the aspirations that we had for last year. We were talking 5.3% to 5.7% but we came in at 5.9%. That's the first thing. So for similar GMV growth, as we had in last year's aspirations, so low double-digit growth in the Polish business. When we look at the progress across advertising, across fintech and in particular, across delivery where we've introduced these new Brandless and Allegro Delivery capabilities in the last 12 months. We're more and more confident that we're able to run the business at a higher margin for a given level of growth. And that's why we've been able to move up the margin. The question -- I think part of the question was relating to the CapEx. You saw in the slide that Roy presented that because of the way that we're concentrating in dense areas and very judiciously sweating the assets that we've already invested in, we're reaching the point now where our Allegro One operations are getting down in cost to the prices that we're paying some of the alternative suppliers which means we're about to move into territory where it's actually going to be accretive to EBITDA moving forward. It therefore makes sense to double down and invest faster and keep pushing our capability in that direction but always being very careful in terms of making sure there's a return on investment on the assets. Second part of your question was around the long-term guidance for international. It's really -- I think you need to look at it in two steps. I mean the 15% is a guideline for 2025. By the end of 2025, the Mall cash flow consumption should essentially be finished. So by 2026, that part starts to drop away. And for the international marketplaces, basically those margins should be gradually improving towards zero, towards breakeven from the minus 20% level that we have at the moment over the 4-year period. So gradually after a big improvement in '26, it should be fairly gradual through to '27, '28. And the final question was about the current trading. There is a comment in the management report. We've been seeing in the first couple of months, very high single-digit for the Polish market and much, much stronger growth, obviously in the international marketplaces and Mall continuing to contract at roughly the same rate as in the fourth quarter. Obviously, the most important is the Polish. This 9% growth rate is something that probably will get a kicker right at the end of the first quarter because of the timing of Easter. So we should land pretty comfortably within the guidance. The guidance is 9% to 11% for the full year. Later in the year, we've got a few initiatives around loyalty that we're planning to add to our functionalities, that may help with the growth. We also listen to and take into account macroeconomic commentators and analysts who are calling for a stronger consumer in the second part of the year. So those two things together should lead us comfortably towards the objective which is double-digit growth. Hopefully, that answers your questions.
Operator: The next question is from the line of Holbrook Luke with Morgan Stanley.
Luke Holbrook: Thank you for providing both annual guidance and more color on your logistics network today. I think that's really helpful. I've got three questions. My first is just in November, you decided to accelerate marketing spend and designate more towards social media campaigns. And I think at the time, you were saying it was gaining more mind share against those like TEMU. But given the beat in Q4, were your campaigns just more effective during the course of Q4? My second question is just on -- you've just mentioned that you were pausing international expansion. Just to clarify, does that mean just not going into Croatia and Slovenia from the marketplace perspective and focused on existing actives in your -- in those existing geographies that you already got a marketplace established in? And then my final question is, I know we've always had not to obsess over your in-housing of logistics capability. But just on Slide 15, you do have a significant step down in your unit cost or your cost per delivery versus your highest price supplier. I just wonder, what's the confidence behind the improved economics within that? That would be very helpful to understand.
Jonathan Eastick: Thank you very much for the questions. I'm going to take the first one on marketing and Roy will take the two logistics related -- the international and the logistics. When it comes to the marketing spend, as Roy said, it was both defensive and also offensive in nature in the fourth quarter. We did come in very marginally below the guidance. It remains a competitive market with a consumer that's fairly reluctant to spend. And I wouldn't say that we over-delivered because if we had them, we would have had probably a stronger GMV than the one that we came in on. But everything that we were doing certainly was working. But as I said, the retail environment was fairly weak.
Roy Perticucci: So the pause of international expansion. I think there was a -- just can you repeat the question just so I understand, are we really just pausing for the two other markets? Was that the question why? I felt like there was a second half to that question.
Luke Holbrook: Is this just a -- is that exactly pause not going into Croatia or Slovenia with your marketplace? Or does it also include basically focusing primarily on your existing assets you've already acquired, an otherwise far more disciplined approach in the existing markets that you're already in?
Roy Perticucci: Okay, I thought there was something else behind it but now I got it. Look, this is retail. We call it tech-driven retail. Sometimes we masquerade it as a tech company but really the best we are is a tech-driven retailer. And in retail, whether it's online or offline, the key thing is flawless execution. You really have to be really, really good at serving the customer and working really, really well with both your suppliers, or in our case, merchant partners. And we've had an established way of working in Poland. And we've brought most ingredients of that way of working into the new markets. And what we've learned going into new markets and also because of new entrants in Poland that there's some tuning that needs to be done. One of those tuning was introducing the product-based view, the productized view on the Polish marketplace. And there are a whole series of other things that we know that we just need to get better at, refreshing the Smart! program and rewarding customers for the loyalty, making it really clear to customers what the benefits, say, of Smart! are and shopping with us. And that is really where we were and we actually promised that we would do something like this that we wouldn't go into new markets until we were confident that we were really, really executing well in their existing ones. And this is just, I think, a natural pause. It enables us to realize a whole bunch of synergies in terms of the cost side and now we have a great space in this next 2 quarters really to introduce a whole bunch of further innovations in terms of how the marketplace works. So it's a pause as opposed to a stop. And then I think as the year progresses and certainly, I would say with some confidence into next year, we'll be looking at what is the place that makes sense to go to. But let's get it right. Let's get profitability right in these new markets because, again, the further you move, the more commitments you have and you need to be sure that you have the scale and the power behind you to successfully go into new markets. There's nothing worse than dipping your toe in this some place, you have to go with conviction. So the other question was about logistics. And I mean, look, logistics is really simple. Volume is king. It is the all determining factor. And whatever assets you have, the more volume we run over them, the cheaper unit cost needs to be. And normally, volume also teaches you how to be a more effective operator. And that is what's really driven that. We started in 2022. That is frankly not that long ago. And we've boosted volume considerably. We already told you the growth, I think, is over 100%, 115%, I think it was in the course of the year and been very judicious in where we've expanded, put in new infrastructure. And that will continue. And then again, I don't think any of us are really wedded to our own capability. I do think that we're probably a little bit faster at executing than maybe some of our other highly talented and capable partners and it's just an arbitrage about we direct the volume to whoever is performing best and that is also true for ourselves. Did I answer it your question on logistics sufficiently?
Luke Holbrook: Yes.
Operator: The next question is from the line of Reshetnev Roman with Goldman Sachs.
Roman Reshetnev: Congratulations on the strong results. The first question on international. I appreciate your comment that you have managed to improve order frequency. But could you please elaborate to what extent it was driven by an increased marketing spend and other initiatives? And how sustainable this improvement going forward, taking into account the market structure and the different customer shopping habits compared to Poland which you factored previously? And in general, how would you evaluate marketing activity of Chinese marketplaces across international markets over the past few months as you appear to go more like head-to-head with them? And do you see any impact from these marketplaces on your pricing power, acquisition, customer retention? And the second one is just on the new CEO search process. If you could provide an update on that? And should we expect any impact on the company's current direction once the new CEO is appointed?
Jonathan Eastick: Thank you for the questions. The first question, around the marketing efficiency, I wasn't quite clear whether you were asking about the international or the Polish business.
Roman Reshetnev: International.
Jonathan Eastick: Okay. So I'll take that. What we're actually seeing is that the first signs of really improving flywheel is starting to emerge, especially in the Czech business which has been running the longest because the brand recognition is improving, gradually as well, the frequency is going up and that is reflected also in a better conversion rate. Increasingly, we're able to buy traffic which is always the fundamental starting point when you enter a new market. We're able to buy the traffic of falling cost per click which means that the margin that we're -- or the loss relative to the GMV that we're generating in the Czech market is improving quite quickly. You only see a 6-point improvement overall because we had two new launched markets, Slovakia and Hungary. Hungary, we're not really advertising. But in Slovakia, we had our first Christmas where there was a lot of ATL relative to the GMV being generated, right, to help build the brand. So yes, overall, the marketing spending is getting more efficient in those markets. When it comes to TEMU, they're very aggressive everywhere. We're defending our position very strongly especially in Poland which is one of the reasons for the higher -- the step-up in marketing spend compared to last year. I'll move over to Roy, I think, for the CEO. The second question was...
Roy Perticucci: Chinese marketing spend.
Jonathan Eastick: That was the second question. Okay. So I covered that. Sorry for that. You deal with the CEO.
Roy Perticucci: So regarding the CEO search, there's really not a huge amount more than we can reveal at this point. There are a number of candidates that have been in the process. Process is being led by our Chairman, Gary and Renumco Head, Nancy Cruickshank [ph] and we're targeting to have the future CEO to be at least nominated before I leave at the AGM. And I think there is a very, very high confidence level that we'll achieve that. And who knows, I can't even comment about when a potential candidate could join. But I think you should have every confidence that there will be a fairly smooth transition between me and whoever succeeds me.
Operator: The next question is from Ross Andrew with Barclays.
Andrew Ross: Three for me, if that's okay. The first one is, I guess, just to come back to the logistics costs. I mean if you can give us a bit more view in terms of what your medium-term ambition here is and what kind of game we're playing because you had this volume-based agreement with InPost in '24, we're back to an indexation in '25 and you're diversifying on your network. Obviously, the contract would then expire, I think, in '27. So can you just give us the puts and takes kind of into that renegotiation? And kind of what you're hoping to achieve as we think in the mid- to long-term around managing your logistics costs? That's the first one. The second one is, when I look at the margin guidance for Poland of kind of broadly stable in '25 and then the medium-term guidance is a bit lower than that. Why would the margins go down in the medium term? Just give us a sense in terms of what kind of downside scenario you build into that or any flex that may exist? And then the third one, I guess, just to ask you about M&A which is one of your capital allocation priorities. Is there anything in the pipeline now in theory what kind of things would you be interested in?
Roy Perticucci: Okay. I'm going to do that. I'm going to do what's a huge passion of mine and that is, I think there's a general consensus that we don't do very large acquisitions well. And quite frankly, I don't see a lot of large opportunities that are truly opportunities. What is really useful and I think with FinAI and with Opennet and with a few other smaller acquisitions that we over time, I think Jon likes to call these bolt-ons which are basically fundamental competency, both acquisitions where you're actually buying what the founders have between their years they have been very successful indeed. Most of the lockers in Poland, for example, run on Opennet software and that includes InPost. And the competency that we acquired with that, I think, was really -- has been essential to some of our success. Similarly, FinAi brought together a group -- brought to us a group of individuals who lived and breathe fintech were, I think, quite good with -- on the product side as well as sort of developing the software. And those sorts of smaller acquisitions where we're actually acquiring know-how as much as anything else are things that are interesting but they're also comparatively speaking, cheap because they're small. And that I think is, by and large, what we go for. In terms of the logistics costs, I think, again, it's -- I don't think we're really interested in going for volume-based deals anywhere at this point because what we also see is a lot of the new participants in the Allegro Delivery and Brandless are coming at it with assets that need to be utilized and therefore, they can price aggressively and we'd like to be able to move between the various ones to do that. But what I would say though is that, to some extent, our success has also come from InPost's willingness to invest in assets ahead of demand in times actually when perhaps no one else in the market was willing to do that. And so always with these things is, we also need to track who is investing to support our volume and what kind of unit cost they can provide for the same or better delivery reliability and click to delivery price -- click to delivery times. So it's a mix. We know that the returns that we're getting in our own rather small investments in the past year, in particular, has been really quite high and we want to stick to that. It's ideally the number one thing in logistics is Christmas is king and you want to invest in what assets you need to get through the Christmas peak and no more. Ideally, actually running at 105% to 110% capacity. So that speaks to actually rather judicious view in terms of our own capabilities based on what's available from our other suppliers. So are they able to ramp their capacity in line with our needs.
Jonathan Eastick: And the second question from Andrew was about why would the margins potentially drop from the 5.9% level that we had in 2024. I think the starting point is to look at cost of inputs in particular, cost of people, as real wages have been rising fairly steadily not only in Poland. Similarly, software is also -- especially software-as-a-service. Sometimes, you have suppliers who are very deeply embedded and prices can go up quite quickly. So the first issue that we need to take into account is cost pressure. We've been offsetting cost pressure with take rate increases which, frankly, the merchants have absorbed with little negative impact over the last couple of years. But we are acutely aware there's a limit to that and we really don't want to bake into our plan constantly increasing the prices that we're asking the merchants to pay. So therefore, there's an element of conservatism in there in terms of what may happen in terms of the operating margins. When it comes to the three growth engines which are basically there to help us on the one hand with revenue but also even more so with margin. As I've said a couple of times in the presentation, they're all performing really well and will have a potential to provide support to our margins and counteract this ever-increasing pressure on people cost and software. And then the final question was -- that's covered all of it, right?
Operator: Mr. Ross, are you done with your questions?
Andrew Ross: Yes.
Operator: The next question comes from the line of Strauss Mia with BNP Paribas.
Mia Strauss: A couple of them have already been answered but maybe just some clarification on some of them. Just starting on TEMU. You said that they're quite aggressive everywhere. But is this just in terms of buying traffic? Or are you seeing this impacting volumes as well? And then maybe just on international shopping frequencies where you've seen this year the seasonal customers coming back in Q4 '24 versus a year ago. Is there a risk that Q4 becomes quite heavily profit weighted? Or have you seen that the shoppers have been quite stable between Q4 and into Q1 this year? And then just a last question on the free Smart! customers in international. Has there been any improvement of these converting into paid customers?
Roy Perticucci: So look, as the online segment continues to grow and take an increasingly large share of consumer spending, it attracts more and more players, particularly in our region where customers every year are almost everywhere, every year are doing better than the previous year, even though they may not always feel that way. And TEMU, in terms of traffic, has addressed, I think, shopping style that's relatively new which is shopping for entertainment. And they've done all sorts of things that make it fun to buy things you hadn't even considered buying. And that is reflected in where some of the traffic is actually going. So we do see their share of overall traffic increasing. We saw that they came a little bit off the boil over Christmas which is not surprising because the click to delivery times are not really competitive for Christmas shopping. And this certainly affects also what we have to spend on marketing. That was particularly true when they first came into our marketplaces where we trade. And I think that will continue. I think though overall, some of these new entrants have had a different view to sort of not only trading conventions but trading regulation. You might even say they might be testing the levels of enforcement. And I think that is going to affect them quite severely in the future. And I think you see this in all the markets, at least the Western markets in which were TEMU and Shein and some of the others trade. So I wouldn't be surprised if they top out at some point. Either that or they're going to have to invest substantial amounts in local positioning, inventory positioning in the rest. In terms of -- I think it was shopping frequency. I can't -- first of all, I don't think we say anything about paid versus nonpaid memberships yet in international, right?
Jonathan Eastick: Not specific.
Roy Perticucci: So obviously, when you're building a loyalty program in a new country where the shopping frequency is not as high as it is in your own country, then it's going to take a while to build. You do not get to where we are after 25 years in the space of 18 months. So I would say it's fair to say in general terms that frequency is both lower and paid membership with Smart! is also lower but these are mechanisms to boost frequency. To that, I would add, simplifying the online shopping experience. We made, I think, some great improvements in delisting certain types of merchants from the marketplaces outside of Poland that I think had a rapid effect, quite quick effect in the perceptions of consumers. And we've got whole bunch of things lined up, again, replicating all sorts of things across all of the markets that will not only increase trust but also ease the shopping experience which again drives loyalty. So I think really at the moment on sort of international frequency, those are sort of the general things that we'll cover.
Mia Strauss: Sorry, if I could just maybe clarify on the international shopping. On the point where you said that you're seeing the Czechia customers coming back a year later for over Christmas. Is that a risk that it will happen again this year, meaning that Q1, Q2 and Q3 or potentially a bit lighter and then we expect a bigger volume in Q4.
Roy Perticucci: Say one thing and I think Jon wants to add on it. Look, it's like it's retail and Christmas, there's clear seasonality typically in Western markets. Right about now, around the Easter time is a typical low point in terms of shopping frequency and intensity and Christmas is a high one. So it is almost always the case that you acquire more customers in that period of the year because that may be the only time of the year that many of them shop online. But what we also see is that the customers that we acquire during the Christmas period are the ones that typically with some attrition progress through with us each year -- through the year. So incremental gains in Christmas translate into incremental years -- incremental customers in the subsequent quarters. So I think that's true in most markets. I think it is true that the Czech Republic, we're not in Czechia yet -- in Czech but certainly in Czechia, where is, I think, probably a little bit more seasonal than some of the other markets. Jon do you want to say?
Jonathan Eastick: No, I think Roy has covered it pretty well but the business that we have with occasional shoppers as a starting point tends to be very peaky in the fourth quarter because that's the main shopping season. What happens over time as people get more loyal and increase their engagement as it starts to migrate to be more of an everyday habit to come and shop on Allegro which is what we see in Poland, where people are spending 8x more than in the international markets. And you don't see nearly the same seasonality in the Polish business as we see at this point in time in international. So year-on-year, things should start to level out as the international businesses start to resemble more and more what we're offering in Poland.
Operator: Ladies and gentlemen, this concludes our audio question session. I will now give the floor to Mr. Pozniak.
Tomasz Pozniak: Thank you, Yota [ph]. We have run out of time. I promise that all the questions asked online will be responded to by e-mail. And if you have any follow-up questions, please address them at IR at allegro.eu, we'll be happy to help. And thank you very much for participating in this presentation and speak to you after Q1.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect your telephone. Thank you for calling and have a good day.